Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:02 Hello, and welcome everyone to the Second Quarter Fiscal 2022 Earnings Call for Commercial Metals Company. Today’s materials, including the press release and supplemental slides that accompany this call can be found on CMC’s Investor Relations website. Today’s call is being recorded. After the company's remarks, we will have a question-and-answer session. And we will have a few instructions at that time. 00:30 I would like to remind all participants that during the course of this conference call, the Company will make statements that provide information other than historical information and will include expectations regarding economic conditions, the impact of the Russian invasion on Ukraine, effects of legislation, US steel import levels, US construction activity, demands for finished steel products, the expected capabilities and benefits of new facilities, the Company’s future operations, the timeline for execution of Company’s growth plan, the Company’s future results of operations, financial measures and capital spending. 01:12 These and other similar statements are considered forward-looking and may involve certain assumptions and speculation and are subject to risks and uncertainties that could cause actual results to differ materially from these expectations. 01:27 These statements reflect the Company’s beliefs based on current conditions that are subject to certain risks and uncertainties, including those that are described in the Risk Factors and forward-looking statements section of the Company’s latest filings with the securities and exchange commission, including the Company’s latest annual report on Form 10-K. Although these statements are based on management’s current expectations and beliefs, CMC offers no assurance that these expectations or beliefs will prove to be correct, and results may vary materially. 02:05 All statements are made only as of this date except as required by law. CMC does not assume any obligation to update, amend or clarify these statements in connection with the future events, changes in assumptions, the occurrence of anticipated or unanticipated events, new information or circumstances or otherwise. 02:26 Some numbers presented will be non-GAAP financial measures, and reconciliations for such numbers can be found in the Company’s earnings release, supplemental slide presentation, or on the Company’s website. Unless stated otherwise, all references made to year or quarter and are references to the Company’s fiscal year or fiscal quarter. 02:46 And now for opening remarks and introductions, I will turn the call over to the Chairman of the Board, President and Chief Executive Officer of Commercial Metals Company, Ms. Barbara Smith.
Barbara Smith: 03:00 Good morning, everyone and thank you for joining CMC's second quarter earnings conference call. Before we begin, I would like to again extend my appreciation and congratulations to CMC's 11,000 employees for another outstanding quarterly performance. Each day through your hard work you find innovative ways for our company to drive efficiencies across the business, improved product quality, deliver world-class customer service and advance our strategic vision. On behalf of the entire leadership team, we're extremely proud of your efforts and of the culture of teamwork and accountability that defines our organization and that you carry forward every day. 03:44 I'll start today's call with highlights from the quarter and a brief status update on CMC's strategic growth projects. I will also provide commentary regarding the impact of the war in Ukraine on CMC's people and business. Paul Lawrence will then cover the quarter's financial information in more detail, and I will conclude with a discussion of the current market environment and our outlook for the third quarter of fiscal 2022, after which we will open the call to questions. Before starting my prepared remarks, I would like to direct listeners to the supplemental slides that accompany this call. The presentation can be found on CMC's Investor Relations website. 04:31 Earnings from continuing operations were $383.3 million or $3.12 per diluted share on net sales of $2 billion, which is a record quarterly result for CMC. Excluding the impact of non-operational items that Paul will discuss, adjusted earnings from continuing operations were $187.6 million or $1.53 per diluted share, the second best in our company's history, trailing only the prior quarter. 05:04 CMC generated core EBITDA of $323.1 million, an increase of 89% from the year ago period and virtually unchanged from the historically seasonally stronger first quarter results. With this quarter's strong performance, CMC's trailing 12-month core EBITDA totaled more than $1.1 billion and our trailing 12-month return on invested capital was 21%. This is a significant achievement. 05:34 During the last 12 consecutive quarters, a time period that includes the global pandemic and broad supply chain and labor force challenges, CMC has generated annualized return on invested capital well above 10%. Our past and current strategic actions have clearly created consistent and substantial value for shareholders and we are poised to continue doing so. CMC's excellent second quarter benefited from favorable demand conditions across virtually all end markets in a very strong margin environment for our major product lines. Our performance also benefited from CMC's ability to capitalize on these conditions. 06:15 As one example, Europe's record quarterly EBITDA reflects the contributions of our third rolling line commissioned last May. This new line in our Polish mill can produce rebar, merchant bar and wire rod simultaneously and is generating volumes and profits well above our initial expectations, enabling our European commercial team to more fully serve their very strong marketplace. This example is like many of the strategic initiatives, investments that are allowing CMC to turn strong market conditions into record financial results. 06:55 Let me now provide a status update on CMC's strategic growth projects, starting with our announced acquisition of Tensar. We expect to close the Tensar transaction during the third fiscal quarter. As a reminder, this acquisition will meaningfully extend CMC's growth runway providing a platform for further expansion into high-margin, high customer service engineered solutions. Tensar's offerings provide best-in-class propositions to customers and are currently under-penetrated in the marketplace. We believe this combination of attractiveness to customers and large potential market opportunity will support significant organic growth for Tensar in the years ahead. 07:39 Our Arizona 2 micro mill project remains on track for an early calendar 2023 startup. This timing lines up well with the expected ramp-up in spending related to the Infrastructure Investment and Jobs Act signed last November. The new mill will provide CMC with 400,000 tons of rebar capacity to serve incremental infrastructure demand, as well as about 150,000 tons of merchant bar that will extend our sales reach to the West Coast. 08:11 Lastly, CMC continues to study options regarding our announced fourth micro mill to be constructed in the Eastern US. We are currently in the site selection process and expect to be able to share project details in the coming months. 08:27 The war in Ukraine has dominated the news cycle for several weeks and we are monitoring the situation closely. For our team in Poland, the war is very close to home. In only in the last few weeks, an estimated 1.4 million Ukrainian refugees have crossed into Poland. I'd like to give you a sense of the quality and unselfish kindness of the CMC team members in Poland. Local leadership has acted swiftly to assist those who leave for safety by coordinating with a well-known humanitarian aid group in Poland that specializes in helping victims of armed conflicts and national disasters -- natural disasters. 09:09 Leadership has also made CMC's accommodations available to refugee families. Many employees are traveling to the Ukrainian border on their own time to transport refugees to safe areas. Many have also opened their homes to refugees and provided food, comfort and shelter. The response by CMC's Polish team members to the human tragedy and need is inspiring and we thank them for everything they are doing. 09:40 To-date, CMC has not experienced any disruptions to our operations. Currently, market demand has continued unabated within CMC's core Polish and German markets. Barring an expansion to the conflict, we did not anticipate any significant interruptions to business functions. EU sanctions placed on imported materials from Russia and Belarus, combined with the disruption of the flow of Ukrainian material are expected to meaningfully tighten the supply of long steel products. For reference in calendar 2021, Russia, Belarus and Ukraine accounted for 46% of the rebar imported into the EU and a higher percentage of the imports into Central and Eastern Europe. These countries also make up roughly 25% to 30% of imported merchant bar and wire rod into the EU. 10:42 Looking at the impact on steel-making raw materials, we are confident in our Polish supply chain. Scrap for our mill is domestically sourced, much of it coming from CMC's own facilities. Likewise, CMC has a strong procurement team in place to ensure access to alloys, electrodes and other key inputs. These comments extend to our North American operations as well. And just as a reminder, CMC does not require pig iron or prime scrap at any of our steel mills. 11:16 Finally, as stated in our press release, our Board of Directors declared a quarterly cash dividend of $0.14 per share of CMC common stock for stockholders of record on March 30th 2022. The dividend will be paid on April 13th, 2022, this represents CMC's 230th consecutive quarterly dividend with the amount paid per share increasing 17% from second quarter of fiscal 2021. 11:47 With that overview, I will now turn the discussion over to Paul Lawrence, Vice President and Chief Financial Officer to provide -- Senior Vice President and Chief Financial Officer to provide some more comments on the results for the quarter.
Paul Lawrence: 12:02 Thank you, Barbara, and good morning to everyone on the call today, as Barbara noted, we reported record fiscal second quarter 2022 earnings from continuing operations of $383.3 million or $3.12 per diluted share, compared to prior year levels of $66.2 million or $0.54 respectively. 12:28 Results this quarter include a net after-tax benefit of $195.8 million. The benefit was related to a large gain recognized on the sale of the California real estate, which was partially offset by debt extinguishment costs associated with the opportunistic refinancing completed during the quarter. 12:49 Excluding the impact of these items, adjusted earnings from continuing operations were $187.6 million or $1.53 per diluted share. Core EBITDA from continuing operations was $323.1 million for the second quarter of 2020, nearly doubled the $171.1 million generated during the prior year period. 13:17 Slide nine of the supplemental presentation illustrates the strength of CMC's quarterly results. Both our North American and Europe segments contributed significantly to year-over-year earnings growth, while core EBITDA per ton of finished steel reached a record level of $226 per ton. 13:40 Now I will review the results by segment for the second quarter of fiscal 2022. Excluding the gain realized on California land sale CMC's North American segment generated adjusted EBITDA of $262.1 million for the first -- for the quarter, just $6 million below the record level achieved in the first quarter. Adjusted EBITDA per ton of finished deal shipped hit a new all-time high of $268. Segment adjusted EBITDA improved 53% on a year-over-year basis, driven by significant increases in margins on steel products and raw materials. Partially offsetting this benefit for higher controllable costs on a per ton of finished steel basis, due primarily to major maintenance programs and increased unit pricing for freight, energy and alloys. 14:40 Selling prices for steel products from our mills increased $346 per ton on a year-over-year basis and $65 per ton sequentially. Margin over scrap on steel products increased $254 per ton from a year ago and $57 per ton sequentially. The average selling price of downstream products increased by $240 per ton from the prior year, reaching a new record of $1,169, this increase was more than double the rate of change in underlying scrap costs, leading to a significant expansion in profitability on volumes processed and shipped through CMC's entire vertically value chain. 15:30 During our fourth quarter earnings call, I indicated that CMC’s downstream backlog was expected to reprice higher throughout fiscal 2022, as new higher priced work replaces older -- lower price work. We are seeing this scenario play out as demonstrated by the $155 per ton increase in downstream average selling price from CMC’s fourth quarter of 2021 to the second quarter of 2022. We continue to expect further upward movement in CMC's average backlog price through the remainder of the fiscal year, particularly in light of the strong market demand and bid volumes that we are experiencing within our downstream geographies. 16:19 Shipments of finished product in the second quarter decreased approximately 10% from a year ago, due to a difficult comparison to unusually strong volumes in the prior year period, as well as weather challenges in much of the Eastern US. End markets for our mill products remains robust, which we are seeing in both order rates and broader industry data we track. Downstream product shipments decreased by roughly 5% as weather slowed construction activity in several geographies. However, we have seen downstream backlog volumes increase providing good optimism of the strength of underlying demand. 17:07 Turning to Slide 11 of the supplemental deck. Our Europe segment generated record adjusted EBITDA of $81.1 million for the second quarter of 2022, compared to adjusted EBITDA of $16.1 million in the prior year quarter. The improvement was driven by expanded margins over scrap and a significant increase in shipment volumes. Higher costs for energy and mill consumables partially offset these positive factors. 17:38 Margins over scrap increased $203 per ton on a year-over-year basis reaching $407 per ton, robust market conditions provided the backdrop to achieve a $319 per ton increase in average selling price with solid year-to-year trends across each product we sell. Europe volumes increased 27%, compared to the prior year as a result of strong market fundamentals and the absence of major planned maintenance that occurred during the second quarter of fiscal 2021. 18:15 Shipment -- excuse me, shipments of merchant and other products were relatively unchanged as sales of higher margin finished product from our third rolling line replace sales of semi-finished billets. This positive shift in sales mix has provided a strong benefit to segment earnings and as Barbara mentioned the recently commissioned rolling line continues to materially outperform expectations. 18:43 Demand conditions within Central Europe remains strong. The Polish construction market continues to grow, while consumption of our merchant and wire rod products have been supported by expanding manufacturing activity. Polish and German PMI readings have registered growth for 20 consecutive months. 19:03 Turning to the balance sheet, liquidity and capital allocation as of February 28th, 2022 cash and cash equivalents totaled $846.6 million. Our cash position was augmented by the successful $600 million senior notes offering completed in January, which provided CMC with $300 million of new funding and advantageously allowing us to redeem $300 million of outstanding 5.375% interest rate notes due in 2027. The new senior notes due in 2030 and 2032 were re-priced to yield 4.125% and 4.375% respectively, enabling us to cost-effectively fund our business and extend our maturities. 20:00 Further, in conjunction with the Industrial Development Authority of the county of Maricopa CMC issued 25-year tax exempt bonds to fund a portion of our new Arizona 2 micro mill. This offering was structured to yield 3.5% for the $150 million of proceeds received. We have regularly discussed our Arizona 2 project, since announcing it in August of 2020. We are proud not only of its first in the world merchant bar capabilities, world-class environmental footprint and strategic value to CMC's position in the Western US, but also from its financing. The vast majority of funding for easy AZ 2 was sourced by unlocking the significant real estate value gained in CMC's 2018 rebar asset acquisition, as well as now the long-term financing at just 3.5%. So not only will AZ 2 have world-class operating costs, but it will also have a world-class capital structure as well. 21:08 As of February 28th, 2022, we had approximately $685 million of availability under our credit and accounts receivable programs, bringing total liquidity to $1.5 billion, a portion of this liquidity will be used to fund the Tensar acquisition on the close of the transaction. During the quarter, we generated $29 million of cash from operating activities, despite almost a $200 million increase in working capital. The rise in working capital was driven by the significant increase in average selling prices. Over the course of the past six quarters, CMC has invested over $800 million in working capital, which will be converted to cash when prices retreat. Our leverage metrics remain attractive and have improved significantly over the last three fiscal years. 22:02 As can be seen on Slide 15, our net debt to EBITDA ratio now sits at just 0.5 times, while our net debt to capitalization is at 14%. We believe our robust balance sheet and overall financial strength provides us the flexibility to finance our strategic organic growth projects and complete the acquisition of Tensar, while continuing to return cash to shareholders. CMC's effective tax rate was 24.8% for the second quarter and we forecast a full-year rate to be between 24% and 25%. 22:40 Turning to CMC’s fiscal 2022 capital spend outlook. We continue to expect to invest between $475 million and $525 million in this year for a total, roughly half of which will be attributable to Arizona 2. Lastly, CMC repurchased 335,500 shares during this fiscal second quarter at an average price of $34.85. These transactions amounted to approximately $11.7 million, leaving $333 million remaining under our current authorization. We plan to increase their pace of repurchases activity during the second half of fiscal 2022. 23:27 This concludes my remarks and I'll turn it back to Barbara for an outlook of the current market environment.
Barbara Smith: 23:34 Thank you, Paul. Turning now to market conditions, first in North America, we continue to see strong demand at the mill level for each of our major product groups. Rebar and wire rod are being supported by healthy construction markets with many customers indicating that their own order books are at multi-year or even all time highs. This anecdotal view is consistent with the current rate of growth in overall US construction spending as measured by the Census Bureau, which is growing at a high single-digit year-over-year rate. 24:09 Encouragingly, we are also seeing signs in both our internal indicators and external measures that the non-residential construction activity we anticipated is beginning to follow the rapid new community build out that has occurred in our Southern markets during the last two years. Historically, non-residential investment has followed residential construction by 12 to 24 months, as local, public and commercial infrastructure is constructed to support the inflow of new residents. 24:41 We see this demand first hand in our downstream Rebar Fabrication operations. Our best leading indicator of future activity is our level of construction bids. This measure continues to grow on a year-over-year basis and reached its highest ever second quarter rate. New project quotes are well balanced between public and private sector work, as well as across industries. Activity has increased in traditional areas of private non-residential like office mixed use, commercial and industrial. 25:14 Additionally, the sectors that were hot during the pandemic, warehousing, datacenter and healthcare remains strong sources of demand. Late in the quarter as a result of the current energy market turbulence we even began to see previously delayed LNG projects reemerge. Rising on downstream business are at historically attractive levels and should be nicely profitable, when shipped in quarters ahead. 25:42 I would also like to note that the strong environment just described is yet to be impacted by the new infrastructure plan, which we estimate will add approximately 1.5 tons of incremental rebar demand to the market at full run rate. As previously mentioned, the timing of the start-up of our Arizona 2 micro mill will position CMC well to fully capitalize unexpected additional demand related to infrastructure. 26:12 The positive tone of our outlook is backed up by several key external construction forecasts and indicators. The Portland Cement Association expects healthy growth of 2.5% in cement consumption in 2022. The Architectural Billing Index continues to point toward expansion in the year ahead, particularly within our core Southern US footprint. Additionally, the Dodge Momentum Index, which measures the value of non-residential projects entering the planning phase remains at levels seen only a handful of times over the last 15-years and shows strength in both its commercial and institutional components. 26:54 Demand for merchant bar also remains strong, this product reaches numerous end markets and the majority of the largest consuming sectors are growing, including General Industrial, Metal Buildings, Racking and Conveyors for Warehousing, Farm Machinery and Construction Equipment. The demand picture in Europe is equally positive, but because of the Ukrainian war more uncertain. Current demand is robust across sectors, with construction activity strong and new residential construction permits remaining near multi-decade highs. 27:28 The Central European industrial sector continues to grow as reflected solid in PMI readings for both current production and new orders. With production from our new rolling line, which allows our Polish operations to produce each of our three major product groups simultaneously CMC is now even better positioned to capitalize on market strength. However, while business conditions are favorable at the moment and expected to remain so the future direction of the Ukrainian crisis is unknown. Given the anticipated tightening of long product supply in Eastern and Central Europe, we do expect strong financial results in the near-term, but a prolonged conflict will likely impacted. 28:16 So to reinforce our outlook for fiscal 2022 is very bullish. Based on our current view of the marketplace and our internal indicators, we anticipate continued strong financial performance, signs point to robust demand in our key end markets and we expect supply and demand conditions to remain favorable supporting healthy margin levels. More near-term in the third quarter of fiscal 2022, we expect shipments to follow a typical seasonal trend, which has historically equated to a high-single or low double-digit increase sequentially. Margins on steel products as well as controllable cost per ton should be generally consistent on a quarter-over-quarter basis. 28:59 Once again, I'd like to thank all of the CMC employees for delivering yet another quarter of outstanding performance. Thank you, and at this time, we'll now open the call to questions.
Operator: 29:13 Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Michael Glick with J.P. Morgan. Please go ahead.
Michael Glick: 29:49 Good morning. Could you just remind us on how your power contracts and hedges in Poland are structured? The implications for margins going forward and given those important stats you cited earlier. Do you think rebar prices can offset the incremental energy costs? And then shorter term has there been any change in demand or customer behavior in the very recent terms since the invasion?
Barbara Smith: 30:23 Let me take a couple of them and then I'm going to pass it to Paul. First and foremost, we do not see any concern relative to energy supply to our Polish operation, Poland is probably the least dependent country on the effect of geography. And so, Paul can talk more specifically about our energy hedges, which will also provide some benefit to us in the near-term. But as you know, a number of steel operations have shuttered, due to the rise in energy prices, and I just want to emphasize that we don't see any disruption in supply. 31:13 As it relates to demand, we are not seeing any negative effect to demand. Bear in mind that very, very large portion of our output stays in the Polish market, we do ship into our second largest market would be Germany. But we're not seeing any changes in demand, as a result of the conflict.
Paul Lawrence: 31:39 Yes, Mike, and good morning. Just a little bit additional information on the Polish power arrangement, as Barbara said, you know, it is not dependent on natural gas as a source of energy for the country as other countries within Europe are primarily it is a coal-based generation of energy. So not only are the spot prices, lower in Poland then what we see across much of the West -- of the much of the rest of Western Europe. We also have the financial arrangement, such that our exposure to spot prices is very reduced, as we've talked about in the past the -- we've got both financial hedges in place, which have a significant portion of our overall power, as well as we've got various arrangements with our power supplier, which includes a portion of fixed price power. And so the increase as a result of energy has not been a material increase to the overall cost structure related to our Polish operations.
Michael Glick: 32:59 Got it. And then, you know, I guess the main question I get so pose it to you is just, I mean, do you all have the view that rebar prices in both US and Europe will increase more so than cost via scrap? And you mentioned energy is a small piece, but curious to get your view there?
Barbara Smith: 33:26 Yes, Michael, and we have to be careful what we say relative to selling price, but what I would say, as you know there was a significant correction, excuse me, correction in scrap prices in the March by as a result of the conflict, both in the US and around the world. And the beauty of our business and our products is that our customer base is used to adjustments, when we see those fluctuations in raw material prices. The other thing I would point out is we do not require any pig iron for our melt need, so the pressure for us is less significant than other players, and we also don't require prime scrap in the prime and the pig is where there is significant impact relative to the conflict in Ukraine. So we feel good about the market absorbing the various inflationary pressures, not only scrap, but other inflationary pressures that we're all familiar with.
Michael Glick: 34:42 Okay. Got it. Thank you very much.
Barbara Smith: 34:44 Thank you, Michael.
Operator: 34:49 Our next question comes from Seth Rosenfeld with BNP Paribas Exane. Please go ahead.
Seth Rosenfeld: 34:57 Hi, good afternoon, thanks for taking our questions today, another question on Europe, please. In your prepared remarks, you touched on the EU's high reliance on Russia, Ukraine and Belarus for imports and long product. Can you remind us on the current effective capacity of your Polish mill, obviously with the third rolling line recently ramped up? Should we assume if any additional upside to output volumes there as recent performance representative of MAPs potential output? Just thinking about potential for share gains, I'll stop there, please.
Barbara Smith: 35:30 Thank you, Seth. Hope you're doing well. You know, with the sanctions, we do see that as a potential opportunity for us in Poland, not only for the reasons we just mentioned around the ability to continue operations uninterrupted, due to available energy and we also don't see any major risks from an overall supply chain. But it could create a tightness in the market, I think, as you know, the sanctions included some language suggesting that the quotas that are currently allocated to Russia and Ukraine could be allocated to other countries. But our current view and its early is that, that could represent an opportunity for CMC, and I'm not going to comment on specific capacity numbers, because that, that varies based on the product mix that you're running and we do have some ability to ship product mix around across the platform. 36:46 But certainly the addition of that rolling line was very effective and has been outperforming our expectations as Paul indicated, and we see that scenario continuing to be really favorable to generate just a very attractive return on that investment.
Seth Rosenfeld: 37:12 Thank you. And a separate question, please with regard to conversion costs or controllable costs. And I'm not quite sure of your comments were reflective of global cost paid specific to the US. But given that in the last quarter, there was other maintenance outage costs? What scale of decrease or alleviation of that pressures reflecting the Q3? If you can quantify that, please and then in other direction are you expecting any incremental increase in freight or alloys going into Q3, please?
Paul Lawrence: 37:43 Yes, Seth as far as the maintenance outages, it’s been now over a year and I would say probably closer to a year and a half that we've been operating our facilities at a high rate of utilization and as a result we are continuing to do necessary preventative maintenance across our operations. We did get a lot of those done within the second quarter, but some will continue into the third quarter as well. But mostly the focus is on the continued reliability of the equipment versus significant costs associated to the outages. 38:39 If we look at our overall outlook for costs going forward to us it's really how do we position ourselves in comparison to other industrial activity even outside the steel industry and we believe we are very, very well positioned, as you look at the innovation that we have brought with the micro mill as an example, that is the lowest energy consumption form of producing steel in the world today and as a result of the impact that we have seen from rising energy costs, yes we’re not immune to it, but it is lower than what has been incurred by others. So we are not anticipating based on what we see today significant further increases in cost. However, it will depend on what happens to the general inflation factors. But what we are confident of South is really our competitive position will remain very, very strong and being able to be a low-cost producer.
Seth Rosenfeld: 39:52 Okay, just to clarify on maintenance would that be owned be down Q-over-Q, it sounds like it is going to be compensated for by inflation elsewhere, am I understanding it correctly?
Paul Lawrence: 40:04 The maintenance itself is likely to continue to be with us in into the third quarter as we continue to go through our routine maintenance at other facilities.
Seth Rosenfeld: 40:17 Okay, understood. Thank you.
Operator: 40:23 Our next question comes from Curt Woodworth with Credit Suisse. Please go ahead.
Curt Woodworth: 40:29 Yes. Thanks, good morning everyone.
Barbara Smith: 40:32 Good morning, Curt.
Paul Lawrence: 40:33 Good morning, Curt.
Curt Woodworth: 40:34 You know, Barbara I was wondering if you could comment on some of the current dynamics at play in Poland just from a supply demand perspective. I know that Europe put sanctions on inability to import steel from Russia and Belarus and historically, I believe Belarus have been a pretty big exporter into your region in Poland. And some of the price hikes we've seen recently coming out of North and South Europe have rebar in anywhere from 1,200 up to 1,350 metric tons, so pretty dramatic increases? So what is your ability to kind of capitalize on that situation? Are you evaluating ways to maybe change your customer flow path to be able to migrate more material potentially in the Northern Europe to capture those prices? 41:23 And then can you comment at all about how -- what's going on in Europe from a pricing standpoint? And as the Turkish pricing is up to probably going higher, how that's kind of feeding into your thinking around US pricing in terms of the arbitrage and, kind of, how customers are thinking about imports maybe today versus where they were a month ago?
Barbara Smith: 41:49 Okay, there's a lot there. And you're absolutely right, Curt that Belarus and Russia are significant importers into the EU. Like we said they account for about 46% of the long steel imports into the EU. So by those flows being cut off, I think we're going to wait and see how those quotas are allocated elsewhere, but we were enjoying an extremely strong demand situation when that flow was coming into the EU. Now that does disrupted, I think that just creates additional opportunity for us to capitalize on not only our high quality product and service, our low cost position, I think, it will continue to support a favorable margin environment. And we have the greatest flexibility we've ever had in the ownership of the Polish assets in terms of optimizing our product mix and optimizing our margin. 43:12 So it's early in the understanding of how the supply chain is going to be impacted by this. But we do definitely see it as a market opportunity and we do see it as something that is going to continue to support a really strong margin environment. And as I said earlier at this point demand is still extremely strong. I'd like to harking back to the COVID, which was an unexpected crisis and there was huge concern about disruption in activity and demand, and we saw the exact opposite that construction activity was -- has the ability to continue on throughout that pandemic and we had some of our strongest quarterly results. And at this stage of the situation, we don't see anything that is going to disrupt that strong environment that we were experiencing before. And in fact there could be an opportunity or two that, that presents itself. 44:31As it relates to the US, clearly scrap is traded globally and the rise in raw material prices and the disruption of prime grades and pig iron, and all of that is reaching havoc on some, not on us, but it is also affecting the typical importers of steel into the US market. And currently, there are concerns among our customers about taking commitments for imported product, there is concerns about logistics and timing of delivery of imported product. So we are seeing an increase in inquiries from customers that would be typically looking at those important offers.
Curt Woodworth: 45:30 Okay. And then on fabrication, if I go back, back when you used to reported the separate segment, I mean, seem like EBITDA per ton that kind of range from 35 to 75 to 80 and it seems like right now it's materially above, kind of, historical levels and -- one of your peers commented that their fabrication EBITDA will almost double sequentially ended this quarter calendar 1Q? So can you provide any context on how profitability looks? I know you don't typically disclose that, but could you give us any sense for maybe how profitability looks today versus through cycle? And then your comment that backlog and pricing is getting better wouldn’t for that margins should continue to expand going forward? Yes, your guidance, you’ve kind of said that margins would be flat sequentially. So would that kind of imply, you would expect margins in the rebar mills segment to maybe decline, which would offset fabrication expansion or any more granularity you can provide around that near-term outlook would be appreciated. Thank you very much.
Paul Lawrence: 46:44 Curt, with respect to the value above scrap costs for the downstream business, yes, there is no doubt that there is a tremendous amount of activity that is going on in the US marketplace, which consistent with supply-demand balances is providing an opportunity to exceed those current -- there was historical levels of margin over and above of scrap in the downstream business, we've seen that margin expansion in the mills, the fab business just has the lag effect before it's fully captured -- fully catches up. 47:39 However, it is in a position where overall we should continue to see expansion of those numbers as we work through the remainder of the lower cost backlog. With respect to the overall margins going forward as 5% scrap costs were up substantially and in March and as a result, it's difficult to precisely forecast how that will flow through into the third quarter given the significance of that. And so more or less, that's where we're directing that margins will remain relatively consistent, but there is a lot of water to flow under that bridge before we can give much more specific guidance.
Curt Woodworth: 48:35 Understood. Thanks very much.
Operator: 48:41 Our next question comes from Emily Chieng with Goldman Sachs. Please go ahead.
Emily Chieng: 48:46 Good morning, Barbara and Paul, and thanks for taking my questions. The first one I have for you guys is just around your comment earlier around shipments in the third quarter being, up sequentially in the high-single or low double-digit range? Just wanted to confirm if that was an overall company comment? And maybe if you could get some granularity around what that would mean for the US side as well? Because it still looks like, if we were to imply a low double-digit increased sequentially, but that could be still lower than what we'd seen in the past for third quarter?
Paul Lawrence: 49:22 Emily, I'll start it and Barbara can add any color. But essentially, it will be relatively consistent to both. Obviously the North America represents the majority of our overall volume, so that will be in line with the increase and have more significance. We've seen a big increase in volumes this past quarter in Poland, there’s still was a seasonal factor, but wasn't as significant in the European segment. But really what we'll see is North America rebound, as that represents the majority of our overall volumes.
Emily Chieng: 50:11 Understood. And then my second question is just around, I think, it was the 1.5 million tons of incremental rebar demand, when we see the impacts of the infrastructure bill rate to full run rate there? Curious how we should be thinking about that number as it relates to any sort of sensitivities you may have run with respect to higher energy costs, labor and other raw material costs and whether or not that 1.5 million tons are still the right number given we've shifted higher along the cost curve a lot of those other items there?
Barbara Smith: 50:47 Yes. Well, Emily, good morning. I think we're pretty confident in the 1.5 million there are others, I know that it forecast a number that's a bit higher than that, and the other thing I would say is that we anticipate seeing the benefit of that start to occur in 2023 and that's just the normal time period that, that you typically see when, you know, a -- in infrastructure plan like this has put in place, it takes time for the projects to come to market. This bill is funded and we do believe the activity will move forward. I would also remind you that the steel component of most projects is a small percentage of the overall cost of the project and we'll see how it evolves going forward and by 2023 you could see some abatement of some of these near-term inflationary pressures that are result of the dislocation that's going on there in Russia and Ukraine. But we think it's a pretty solid view.
Emily Chieng: 52:07 Understood. Thanks, Barbara.
Barbara Smith: 52:09 Thank you, Emily.
Operator: 52:14 The next question comes from Timna Tanners with Wolfe Research. Please go ahead.
Timna Tanners: 52:20 Yes. Hey, good morning.
Barbara Smith: 52:21 Good morning, Timna.
Timna Tanners: 52:22 Wanted to -- I wanted to follow-up on kind of the scrap and the dynamic in the US. And I think, I understood you saying that you expect to be able to pass-through the increase of prices, but it's all happened really quickly in your -- it sounds like playing somewhat conservative in terms of the guidance. I guess it to -- ask in a different way, I know that you don't have to buy pig iron, you don't have to buy plant scrap, but everyone, who does is scrambling for obsolete, but sounds like there could be continued inflation in that grade where you do traffic? So just the simple question is do you see anything that could be different in terms of your historical ability to pass-through scrap prices, because it has been pretty nice and consistent for a while now long products, that is really the first question? And are you concerned at all about your ability to pass it through and seeing a scramble and even the absolute grades? Thanks.
Barbara Smith: 53:25 Yes. Thank you, Timna, I'll give it a crack and then Paul can add anything if I'm -- I own that something, but we were able to make complete our buy in March and typically, you know, there is plentiful supply of scrap and the grades that we need to utilize in our operations. Yes, there is maybe a bit more competition for it and thus the rise in raw material price, but there is still plentiful supply and probably, we're in a better position in other parts of the world that, that I don't have the same reservoir scrap as we do in our key markets. We're really sensitive to our customers and what they had to absorb already in raw material price changes over the last period of time. 54:26 But the two key things in, you know, as well, what's the overall demand and what's the supply side, and as I indicated earlier, we're seeing certainly not seeing a difference in terms of important fact import levels are probably lower in current license period and customers do have concerns. So I would say that we're actually have more customer inquiries looking for us to cover their needs, because they have less confidence in you know that alternate supply coming in through imports. So you put all that together and it is construction season and weather is beautiful here today in Dallas and folks want to blow and go on these projects and particularly with some of the weather that we've seen here and other parts of the country. Now is the time where, you know, customers want to really advance their projects. 55:41 So I think it's a -- it's going to be an environment where as certainly customers will understand the raw material price changes. There'll be ebbs and flows as you know we -- when an price changes announced, there is always a future date when that goes into effect and so sometimes we see folks trying to accelerate some shipment, but and then there's also the lag of raw material that was purchased in prior periods at lower values. But net-net, I think, it's going to be still a really strong environment.
Timna Tanners: 56:25 Okay. And then if I could -- the second follow-up or the follow-up is that you talked about the European market being particularly tight and I think that is to reflect the absence of Russia, Ukraine, material and some closures of capacity we saw in Spain. But Turkey is shifting its gears to export to the European market, so could that on also -- and also the US tends to -- it has historically imported some from Russia, Ukraine and other European markets? Is there also potential for the US market to further tighten, if this continues, if this contract continues?
Barbara Smith: 57:02 I think that possibility exists, so that was certainly what I was trying to convey as it relates to our Polish operations, given that Belarus and Russia and now are under sanctions and that supply has been cut off. There is still the quota in place both in Poland and in the US, which is going to limit supply from other countries. And as I also -- I indicated the EU language on around sanctions was they were going to consider reallocating some of the Russia and Belarus quotas to other countries, but we haven't seen the details on that. And given the overall strong demand in most of the major markets, who knows if the countries they allocated to have the ability to take advantage of that. So we do see the potential opportunity for further tightening of supply.
Timna Tanners: 58:13 Thank you.
Barbara Smith: 58:15 Thank you, Timna.
Operator: 58:20 Our next question comes from Alex Hacking with Citi. Please go ahead.
Alex Hacking: 58:26 Yes. Hey, thanks. The strong bid volumes that you're seeing in the US, is there any part of that, that you can link to the infrastructure bill? Or it's still way too soon for that and those tons are still to come? Thanks.
Barbara Smith: 58:41 Now the beauty of it, Alex, is that we aren't seeing that yet and that's on the come, so the activity that we're seeing is -- it's anything -- it's normal transportation bill there is, I don't want to convey that there is not infrastructure contained in that, but it's really being funded by the existing transportation though it's not the increase to that. We think that, that demand will start to see in 2023, which will be perfect timing with the startup of Arizona 2. So we -- despite these -- despite the volatility, we're still quite bullish for the short, medium and long-term.
Alex Hacking: 59:29 Okay, thanks. And then on Poland, first let me commend the team there on the humanitarian efforts. On the supply side, you mentioned obviously lack of supply coming from Russia, Ukraine and Belarus. We are hearing a lot about very high power costs put in some EIFs in Europe temporarily out of commission. Is that something you're seeing that's further tightening up the market there?
Barbara Smith: 60:00 It's so early Alex, but it's inevitable, right? I think, probably speculators were driving some of the spike in energy prices, and I think there has been certainly an abatement in oil prices. So we'll see where it settles out. As it relates to the conflict, but I do think any steel operation in Europe that does not have their energy covered both from a supply and a price perspective, even if it's partially covered from a price perspective as we are -- we have a good portion of that's covered. And there are many steel mills that don't have certainty of supply or they -- and they are purchasing their energy completely on a spot basis. So that will become an economic decision for those operations and that will depend upon a lot of factors. 61:15 But just the ones that we have seen thus far that have announced curtailment, shutdowns, temporary shutdowns, whatever you want to call it, you lose a week's worth of output across a number of mills that is definitely going to tighten supply and we are confident in Poland in not only our energy supply as we indicated earlier, but also that our energy cost relative to the competition is going to be at an advantageous value. So all these factors we believe support really strong results out of our Polish opportunity or our Polish operations and could represent a market opportunity for us, but we just need to see how all this plays out over time.
Alex Hacking: 62:18 Okay, great. Thank you.
Barbara Smith: 62:20 Thank you, Alex.
Operator: 62:25 And our final question comes from Phil Gibbs with KeyBanc Capital Markets. Please go ahead.
Phil Gibbs: 62:32 Yes. Thanks very much, good morning.
Paul Lawrence: 62:34 Good morning, Phil.
Phil Gibbs: 62:37 With the [audio gap] for net working capital, I know you guys have built up a lot over the last two to four quarters. When does that start to level out?
Paul Lawrence: 62:57 Phil, your audio wasn't great. But if your question was what's our view towards working capital from this point forward? Had it been not for this the scrap increase that we've seen here in March, I would have said, we would expect it to be pretty, pretty level at this point. However, with the further increase of substantial increase close to $100 a ton that we've seen in scrap costs, we will continue to see investment into the third quarter as a rough magnitude, it will probably be close to $100 million that we would looked if these prices continue at that higher level to invest in the coming quarters.
Phil Gibbs: 63:55 Okay.
Barbara Smith: 63:56 And we do see a seasonal release in the fall as construction activity slows down, due to holidays and weather. So we generally see a nice release in the fall, but I mean it's all going to depend on where raw material prices go, but as Paul articulated in his comments, we have significant flip financial flexibility on our balance sheet to fund that additional working capital based upon where raw material prices go.
Phil Gibbs: 64:33 Okay. And then on the CapEx this year, I think you're circling around $500 million. How much of that again is the growth related portion of that capital? And should we be expecting there to be some investment in 2023 in the new micro mill as you get past the site selection process?
Paul Lawrence: 65:02 Phil this is obviously the big year for investment in AZ 2 and so, yes, it represents over half of the $500 million. It will come off significantly as we enter into 2023 given the permitting process that would be required from the new mill probably won't see a heavy lift of spend for the new micro mill. So as we look to 2023 it will come down from these levels, pretty substantially.
Phil Gibbs: 65:43 Thanks very much.
Paul Lawrence: 65:45 Thanks, Phil.
Barbara Smith: 65:46 Thank you, Phil.
Operator: 65:49 This concludes our question-and-answer session [indiscernible] now I'd like to turn the call back over to you.
Barbara Smith: 65:58 Thank you everyone for joining us on today's conference call. And we will look forward to speaking with many of you during our investor calls in the coming days and weeks. Hope you all have a wonderful day. Thank you and happy [audio gap]
Operator: 66:16 This concludes today's Commercial Metals Company conference call. You may now disconnect.